Unknown Executive: Okay. Ladies and gentlemen, welcome to the Kogan First Half Results for FY '26. This morning, we are joined by Ruslan and David, and we will begin with a short presentation, and this will be followed by Q&A. [Operator Instructions] I'm handing over now to Ruslan and David.
Ruslan Kogan: Good morning, everyone, and thank you for joining us for the Kogan Group's First Half FY '26 Results Presentation. It's a pleasure to be here with David Shafer, our CFO, COO and Executive Director. This morning, we'll take you through the company's results for the first half of FY '26, which demonstrated the strength of the Kogan.com platform. We delivered growth, strong cash generation and improved operating leverage, with Kogan.com once again leading the group's performance. At the same time, meaningful progress was made in optimizing Mighty Ape, with the foundations now firmly in place to support a return to sustainable profitability under our One Group strategy. To begin, let's dive straight into the highlights for the half. The Kogan Group results are split into 2 reporting segments: Kogan.com and Mighty Ape. Kogan.com is firing on all cylinders. We drove gross sales past $0.5 billion, growing 21% on the prior corresponding period, while revenue grew by 17%. And we didn't just grow sales, we also expanded our profitability. The top line growth translated into $27.6 million in adjusted earnings, an 18% increase on the prior corresponding period. You can see the benefit of our operating leverage with adjusted earnings margins expanding to 11.9%. Regarding Mighty Ape, we are seeing good progress. The performance is improving. The inventory reset is largely complete, and the team is now fully integrated into the group structure. This is part of our One Group strategy, under which we expect Mighty Ape performance to progressively recover. Importantly, the Kogan.com earnings result delivered strong cash generation with the Kogan Group producing $45.1 million of free cash flow this half, up 2% on the prior corresponding period. Overall, we delivered double-digit sales growth, margin discipline and strong cash generation. Let's now delve deeper into the results. I'll hand over to David to present the financial update.
David Shafer: Thanks, and good morning, everyone. It's great to have you with us today. Here, we have broken out the results of our 2 reporting segments to highlight the drivers of performance. The story of this half is clear, Kogan.com is doing the heavy lifting. Let's look at the top row first. Kogan.com, which also includes our core retail brands like Dick Smith, Matt Blatt and Brosa delivered an outstanding performance. We saw revenue increase 17%. Importantly, we also delivered at the bottom line, too. Gross profit climbed 16% to nearly $100 million, and adjusted EBITDA grew 18% to $27.6 million. This is the operating leverage Ruslan mentioned. As we scale, our platform model ensures that incremental sales translate into meaningful earnings growth. Now looking at the middle row, Mighty Ape. As expected, this was a transition half. We are deep in the execution of a strategic reset towards our One Group strategy, which aims to align our procurement verticals, marketplace and loyalty strategies across the group. Revenue was down 25%, which reflected our deliberate move to reset inventory levels and tighten procurement as we commenced the rebuild of inventory with greater focus on exclusive products. While this resulted in an adjusted EBITDA loss of $3.2 million for the half, we believe this is temporary and was necessary. We have stripped back the cost base and are streamlining operations to ensure Mighty Ape returns to sustainable profitability in the second half through the One Group strategy I mentioned earlier, bringing it together at the group level on the bottom row. Despite the drag from the Mighty Ape reset, the sheer strength of the Kogan.com business drove total group revenue up 5% to $287.6 million. While group adjusted EBITDA dipped slightly by 3%, the underlying health of our primary business remains exceptionally strong. Moving to Slide 6. This is where you see the quality of our earnings. We aren't just generating profit, we are building a defensive moat around it. The headline figure here is 72%. That is the percentage of our gross profit that came from our exclusive products and services, areas where we own the IP, control the supply chain and dictate the margin. These are products and services customers can only purchase through us. Looking at the breakdown of that moat, Kogan.com products contributed 30.8% of total gross profit. This is our exclusive brand strategy, unbeatable value for customers but with end-to-end control for us. The loyalty programs also delivered 28.3% of total gross profit. This is recurring subscription revenue that has compounded over time. Then you have the Marketplaces division contributing 18.7%. This is a scalable capital-light revenue stream, offering huge customer choice with minimal working capital requirements. The takeaway is diversification of revenue streams, all connected through the one brand and loyalty program. We are not reliant on a single product category or a single revenue stream. We have a balanced mix of recurring subscriptions, high-margin exclusive products and asset-light marketplace revenue. That is what we call a durable earnings base. This mix of revenue streams is unified for consumers through the Kogan.com channel and loyalty program, seamlessly bringing together many different offerings under the one umbrella. Turning to Slide 7. This is the financial highlight of the half. This is the definition of operating leverage. Look at the table on the left, it tells the story of a scalable platform. Double-digit revenue growth of 16.9%, gross margin held steady at 42.9% and delivered margin improving to 38.9%, showing we are becoming more efficient at getting products to customers. We also invested for the future by increasing our marketing to drive our top line and community of shoppers. Further, our fixed costs as a percentage to sales dropped to 11.3%. This is the discipline we promised. We are growing the top line without adding weight to the cost base. Now look at the charts on the right. That efficiency flows straight through to the margins. Adjusted EBITDA margin increased to 11.9% and adjusted EBIT margin climbed to 9.7%. This is the model working as designed. We drive top line growth, control the fixed costs and deliver the difference as expanded margin. Turning now to Mighty Ape. The theme is reset and rebuild under One Team and One Global Strategy. This half was about making the hard decisions to fix the foundations and set the business up for success over the long term. First, the inventory reset. We started this work last year, and this half, we largely completed it. We executed a comprehensive optimization program, reducing our stock holdings by 32%. This addressed the legacy inventory and released working capital, meaning our range is now strictly focused on what our customers want. As we rebuild inventory under our One Group strategy, we will deliver a greater focus on exclusive products. At the same time, we overhauled our operating model. We stripped out complexity and tightened our cost controls. As a result, we have seen a material reduction in operating costs as a percentage of revenue. The business is simply leaner and faster than it was 6 months ago. Most importantly, you can see this in the trajectory. We started the half with adjusted EBITDA margins in double-digit negative territory in July. But as these changes took hold, we climbed month-on-month, crossing into positive territory by December, but we're not calling victory yet. The New Zealand retail environment remains challenging, and the major reset is a work in progress. Inventory has been optimized. The cost base has been structurally reduced, and the business is now positioned for a sustainable recovery. Turning now to the group's capital position. If you look at the cash flow column to the right, you'll see our earnings converted efficiently into $46.9 million in operating cash flow. That flowed almost entirely through to free cash flow, which was $45.1 million for the half. This was bolstered by our discipline on inventory, where we released $7.1 million year-on-year, largely due to the Mighty Ape reset. This performance has left our balance sheet in good condition. We ended the half with $71.8 million in total cash. That is an increase of over $4 million year-on-year, and we remain completely debt-free. This financial strength allowed us to return capital to shareholders. In this half alone, we returned $5.8 million net of the DRP in dividends and another $4.8 million through our on-market share buyback. We are liquid, we are flexible, and we have the capital to invest aggressively in growth while continuing to return value to you. For those who want the line-by-line statutory details, you can find them in the annexes. Turning to Slide 10. Let's talk about returns. Because of the strong cash generation and capital position I just walked through, we are in a position to step up the dividend. The Board has declared an interim dividend of $0.080 per share fully franked. The increased dividend is a direct reflection of our confidence in the group's balance sheet and our ability to generate consistent free cash flow. For those looking to reinvest, our dividend reinvestment plan remains active, offering shares at a 2.5% discount to the market price. Key dates are on the right. We will be paying this out on the 30th of April. That wraps up the financials. I'll now hand back to Ruslan to take us through the business update and outlook.
Ruslan Kogan: Thanks, David. I'll now take you through our business update, which focuses on the performance of our various divisions. Before we get into the details, let us step back and briefly revisit the strategy that drives this group. Our strategy is built on 2 complementary strategies, the product division and our platform-based sales. On the product side, we are relentless about value. Through our exclusive brands, we control the supply chain end-to-end direct from the warehouse to the customer. Combined with our globally sourced third-party range, this allows us to price highly competitively and deliver unbeatable value. Then we have platform-based sales. This is where we leverage our scale. This includes loyalty programs that drive recurring revenue, our verticals and advertising platform. Importantly, our marketplaces operate here with a capital-light business model. These 2 sides fuel the flywheel you see on the right. More product sales drive more subscribers and platform engagement. That generates higher profitability and customer retention, which gives us the ability to lower prices even further. It is a self-reinforcing loop. We use recurring revenues and attractive margins to drive strong profitability, ensuring the business is resilient and ready for long-term growth. So that's the group strategy that has been built and refined over more than 2 decades. It is designed for delighting customers and sustainable cash-generating growth, which brings us to our next slide, One Global Team, One Group strategy. We have an incredible opportunity to take the proven Kogan.com success story and replicate it at Mighty Ape. The graphs on the right show the levers we are pulling. Right now, Kogan.com is a relatively mature platform-first business, generating 64% of its gross sales and 65% of its gross profit from high-margin platform streams. Mighty Ape is sitting at roughly 30% for both. It is where Kogan.com was years ago. That gap is a massive runway for quality earnings growth. The graph on the left demonstrates the potential upside. There is a stark difference in unit economics between the Kogan.com model and the current Mighty Ape model. Kogan.com gross margin is at 42.9%, while Mighty Ape is at 26.2%. When it comes to contribution margin, Kogan.com retains 22.3%, nearly double Mighty Ape's 11.6%. This gap represents our opportunity. By executing the proven Kogan.com strategy, shifting to platform sales and attractive margin verticals, we can bridge this gap. We aren't guessing if this strategy works. We have the blueprint and have been executing on it for over 2 decades at Kogan.com. Now let's look at our platform-based sales. The chart on the left tells the story of a consistent upward trajectory. We grew this revenue stream by 16.6% to achieve $68.9 million for the half. I cannot overstate the importance of this number. This isn't just revenue. It is smart revenue that delights customers. It is capital light, it is scalable. And crucially, it carries 0 inventory risk and generates high margins. Because of that, it delivers superior unit economics and enhances our cash flow efficiency. It creates a powerful network effect. As we add more buyers and sellers, the platform itself becomes more valuable and our customer relationships get deeper. Now while this revenue stream is well established at Kogan.com for Mighty Ape, we are just getting started under our one group strategy. We have already launched Mighty Mobile and the marketplace. In May 2025, we rolled out Mighty Ape Travel Insurance. And just last month, January 2026, we expanded that vertical into Mighty Ape Insurance, covering travel, pet and car. We expect platform-based sales to grow in Mighty Ape over the coming years. Zooming in on Kogan Marketplace, which forms an important component of platform-based sales. We continued our strong momentum and accelerated. We delivered a record half with revenue increasing 31.6% to $19.5 million. This performance is the result of the flywheel effect mentioned previously as we delight more customers and deepen our relationships with high-quality sellers and integrate them into our ecosystem. Crucially, this is the capital-light strategy at its best. We are scaling this revenue with no inventory exposure and minimal working capital. As our traffic grows, this division grows naturally alongside it. It's the ultimate win-win-win. It's a win for customers through broader choice, a win for sellers through access to our platform and loyalty ecosystem and a win for the group through high-quality scalable earnings. Now to highlight the performance of Kogan FIRST, another important component of platform-based sales. FIRST continues to be a core driver of group performance. We grew subscription revenue by 7.6% to $30.3 million in the half. But the key highlight for me is on the top right. Approximately 50% of our product gross sales at Kogan.com were driven by First members. Think about that. A loyal group of subscribers is driving half of our entire product volume. That is the definition of high-quality recurring demand. And because these subscriptions are prepaid, we have built up $11.2 million in deferred income, an increase of 13.7%, which gives us good visibility on revenue over the next 11 months. Under our One Group strategy, we expect to apply many of the learnings we have at Kogan FIRST to Mighty Ape's PRIMATE loyalty program over the coming year. Next up is Kogan Verticals, another vital component of platform-based sales. The headline remains the same, another record half. Revenue climbed 8.8% to $12.3 million. Two standout performers drove this result, Kogan Mobile and Kogan Internet. Kogan Mobile grew 13%, continuing to win market share in a highly competitive environment. Kogan Internet surged 40%, reflecting the incredible uptake of our improved pricing and NBN plans. But it's not just about volume, it's about quality. If you look to the right, you'll see we are consistently winning awards for value. We are delivering essential services at unbeatable prices and customers are voting with their wallets. Strategically, this division is so important. It embeds us into the daily lives of our customers. When a customer trusts us with their essential services, they engage more frequently, they shop more across the platform, and they become far more valuable to the group over the long term. We'll now turn to Kogan Products, the division the business started with over 2 decades ago. It's clear that profitability is outpacing revenue. While revenue grew a very healthy 19% to $167.9 million, look at the chart below it. Gross profit increased 26.4% to $35.1 million. Our gross margin increased by 1.2 percentage points to 20.9%. Two things drove this: a more favorable product mix and continued growth of our exclusive brands. The average price per item sold jumped 11% to $179 as customers bought more televisions, appliances and home and living items. And over 70% of our revenue came from our own brands. That means we control the supply chain and we keep the margin. Our strategy of devoting your trusted capital to higher-value exclusive products is working. And as our scale in this division grows, so does our importance with critical manufacturing partners. This reinforces why we are so confident in the Mighty Ape reset under the One Group strategy. We aren't guessing how to fix margins. We are simply applying the exact same discipline that delivered these results for Kogan.com. Moving on from the first half FY '26, I'm pleased to provide a January 2026 trading update. For the month of January 2026, the group continued its strong performance with gross sales up 10% to $88.1 million. Group revenue was also up 8%. Again, you can see the 2 performances of the group. Kogan.com performed strongly with gross sales up 13%, while Mighty Ape was down 13%. With the ongoing implementation of our One Group strategy under One Global Team, we expect to return to positive performance in Mighty Ape in second half FY '26. We expect group adjusted earnings margins to be in the range of 6% to 9% for the full year 2026 as we look to continue growth initiatives, navigate the economic headwinds in New Zealand and work through the ongoing Mighty Ape optimization under our One Group strategy. Slide 21 sets out the path to long-term value. First, look at the profit driver, platform-based sales. We are already hitting our stride here. Margins expanded to approximately 52% this half, putting us firmly inside our medium-term target range. Second, group product sales. You can see a small dip here to minus 5%. This is purely the impact of the Mighty Ape reset we discussed. We are taking a short-term hit now to fix the foundation, but here is the most important signal. Despite that temporary drag, the total group margins still improved, climbing from 7.5% in FY '25 to 8.5% this half. That proves the resilience of our model. Even with the reset, the overall strategy is strong enough to lift the whole group. Looking to the right, we have our ultimate aspiration. As we scale those high-margin platform revenues and bring product sales back to breakeven, we see a clear path to group adjusted margin of over 20% in the long term. The formula remains simple: grow the platform, remain disciplined on products and let the operating leverage deliver the returns. This concludes our presentation. Before we open for Q&A, I want to leave you with one final thought. You've heard us talk a lot today about efficiency, scalability and operating leverage. Well, we practice what we preach. Once again, we have used AI to assist in delivering today's presentation. This isn't just about using the latest tech. It is a practical demonstration of the Kogan.com DNA. We are constantly finding smarter, faster and more cost-effective ways to operate. Whether it is in our logistics, our marketing or our Investor Relations, innovation isn't just what we sell, it is how we operate. On behalf of the Board and our team, thank you all for your interest in Kogan.com today. We look forward to meeting with many of our shareholders over the coming weeks. For those of you who have any questions or are interested in hearing more, please stay with us for the Q&A.
Unknown Executive: Okay. Thank you, Ruslan and David. Perhaps I can start with a question around the market that you're operating in. How have you perhaps benefited from MyDeal and Catch leaving the marketplace? And what are you seeing from Amazon and Temu in the marketplace?
Ruslan Kogan: Well, you can see from our results that we're winning significant market share in the market. We often have our blinkers on and focus on our customers and how we can deliver more and more value to our customers. So where exactly are we winning that market share from? That's hard to tell. But there would be some internal factors there, and there would be some external factors. Internal factors would be that it's -- nobody can afford not to be a Kogan FIRST member these days. That program is doing really well. Our product range is expanding. Our business is becoming more efficient, and we can pass a lot of those cost savings on to our customers. We're in a market where there are cost of living pressures that typically causes customers to do a bit more research, and now they've got more and more tools to do that research. If you want to compare 2 products, AI can do it for you, Chuck it into Grok, Gemini, ChatGPT, that can do a price scan for you, that can compare specifications. You can do it old school way of opening a browser and opening a few tabs and comparing for yourself. And the more and more customers that do that, the more it's going to drive customers to our products because we are a value leader. So there's a lot of internal things that are winning market share for us. And externally, yes, we're going to be celebrating our 20th birthday in a few weeks. In that time, we've seen a lot of competitors come and go. And one thing that's remained constant for us is that if we keep delivering value to our customers, they reward us with their patronage. So yes.
Unknown Executive: Thanks, Rus. Just a reminder participation on the call are welcome to ask questions. If you could please put those into the Q&A function in the zoom webinar. The next question we had relates to the performance of the Australian business, which appears to be going from strength to strength. How much of that is dependent or determined by the November, December peak period? And is that broadening out to be more full year?
David Shafer: I'll take that one. So thanks for the question. We had a very strong November, December peak period. Our shareholders will be aware that we did a market update at the AGM in November for the half year up to the end of October. So this result really updates on the performance of November and December, which was among the strongest profit result we've ever had as a business. And that's being driven by Kogan.com, as we've just discussed in the presentation. So Kogan.com is firing on all cylinders. What we mean by that is, all of the different elements of the Kogan.com business are themselves achieving almost record results. It's really the culmination of many years of work by the team at perfecting their different parts of the business. And I think that bodes well for the future of the Kogan.com business when you see strong growth in marketplace, exceptional growth and profitability in Kogan products driven by new product ranges and disciplined execution. Ongoing growth in Kogan FIRST, which is obviously very important as a driver for general demand in the business and recurring customers and also Kogan Verticals, which brings hundreds of thousands of customers into our business every day of the year through essential services and keeps reminding them of the value that we provide on a daily basis. So with Kogan.com firing on all cylinders, that does bode well not only for the November, December period, which we've just delivered, which was very strong, but it does set us up well for the second half.
Unknown Executive: Thanks, David. The next question relates to New Zealand. Could you run us through some of the initiatives you're taking to integrate the Australian and New Zealand businesses under the One Group strategy?
David Shafer: Sure. The most important change that we've implemented over the last few months is that we have formed One Global Team. So previously, we had a Kogan.com team with the Kogan.com leadership, and we had a separate Mighty Ape team with a separate Mighty Ape CEO. And the reporting structure included a report from the Mighty Ape CEO up to the Kogan.com leadership. But the other elements of the Mighty Ape business were all reporting to the Mighty Ape CEO and under that person's leadership. That has been changed to reduce or remove the separate structure such that the entire team across the globe is under one team, which the practical implications of that are that we're operating off the same KPIs, the same metrics of success and failure, the same things that will cause a product to be ordered or reordered or killed off, the same metrics for marketing, the same metrics for logistics efficiency are standardized across the business. So it sounds like it's just one word, but it has hundreds of different implications on a daily basis, that change in our team structure. And the practical implication of that, that we've seen already is the fact that we have reduced inventory in Mighty Ape significantly. It's at the lowest inventory level we've had for many, many years. And that's preparing the business for an inventory rebuild, which will be premised on exclusive products, exclusive brands and the known winners that we've seen in the Australian business over the last years. So that's one thing that we can expect to see over the coming months. In addition to this greater push towards platform-based sales. So the marketplace has launched in Mighty Ape and is growing quite nicely. The PRIMATE business has launched and is growing, but there's lots of learnings from the Kogan FIRST business that will be implemented within PRIMATE in the current half as well as the launch of other verticals and the scaling of Mighty Mobile, which is currently the largest vertical in New Zealand.
Unknown Executive: Okay. A follow-up question in relation to New Zealand. I think you might have answered the first part of it. Do you expect the changes in New Zealand to extend to the range of products on offering and potentially the brand? And then the second part of the question is around profitability breakeven in the second half. Do you expect that to be delivered in the Mighty Ape business?
David Shafer: So Kogan already operates under the Kogan brand in New Zealand. It's a smaller business than Mighty Ape. Mighty Ape was acquired during COVID in 2020 by Kogan.com because of its -- the strength of its brand. It's got a very known well-known, well-trusted brand in New Zealand. It was organically grown for many, many years and built a cult following. And we're looking to retain and enhance that brand. So Aussies might not know the brand that well, but New Zealanders definitely know the brand Mighty Ape. And we're looking to preserve the core foundation of the Mighty Ape brand while adding in a lot of the juice that makes Kogan.com so successful in Australia. So the practical implication will be we'll continue to offer the products and services that Mighty Ape is known and loved, but in a more limited targeted way, while supplementing that with a good range of private label products of known winners from Australia and obviously, the millions of products that are available on the Mighty Ape marketplace already. And in terms of what we expect for profitability in the second half for Mighty Ape, we've said that we expect to return to positive performance in the second half. You can see the month-by-month trajectory of adjusted EBITDA margins in the presentation. It's heading in the right direction, but we're cautiously optimistic, but we're not making any definite predictions as to what will happen. We do believe we will get to positive performance, but it's obviously highly volatile, and we're cautious in that suggestion.
Unknown Executive: Thanks, David. And a follow-up question just around that exact chart you were referring to on Page 8. How much of the improved margin performance in New Zealand was because of the peak trading period? And how much was the changes you're making in the business in New Zealand?
David Shafer: Great question. It was partially both. So in the peak trading period, when you've got more revenue coming through, it's obviously a higher profitability part of the year. So that definitely drove part of the adjusted EBITDA margin improvement in December and November. Having said that, we've also shown that we've drastically reduced operating costs as a percentage of revenue. We're standardizing marketing performance and logistics performance. and we've drastically reduced inventory, including underperforming inventory. So all of those things are internal within the business and will set us up for a good opportunity to deliver a profitable second half.
Unknown Executive: It seems to be a trend of questions regarding New Zealand. Should we expect working capital to increase with the rebuild in inventory in New Zealand?
David Shafer: We will be deploying some working capital to grow the inventory in New Zealand. It's at almost an all-time low of inventory at the moment for the period of our ownership of Mighty Ape. And we've mentioned we will be rebuilding that with a focus on exclusive products. So that will take some of the working capital. But Kogan.com is producing a heap of free cash flow, and we believe that in the scheme of the overall cash generation of the business, it's going to be not that significant and will not impact our ability to continue returning capital to shareholders in the form of dividends and buybacks. And importantly, it's not going to impact the ongoing growth potential of Kogan.com as we continue to invest in marketing and growing the asset. So this is a growing business at Kogan.com, double-digit growth. We intend for that to continue. We intend to invest in Kogan.com and to grow the jewel in the crown.
Unknown Executive: And just a question in relation to the New Zealand retail environment more broadly. Are you seeing any improvement in trading conditions across the ditch because they've been through a pretty tough time in the last 12 months or so.
David Shafer: To be honest, there are so many internal changes happening with the way that we're operating Mighty Ape. It's very difficult to identify one part of the business' performance as being driven by the general retail economy versus the internal changes that we're making. So there's no doubt that the New Zealand retail environment does play a factor in the performance of Mighty Ape, but it's very difficult to segment which part is responsible for which. So it's playing a role, but we don't know to what extent.
Ruslan Kogan: In general, I think that no matter what the wider market is doing, there's good retailers and poor retailers in all economies. And it's a retailer's job to be there to service the needs and demands of customers. I think the major opportunity we highlight in the presentation for Mighty Ape, and that is Kogan is about to celebrate its 20th birthday. We have been the most profitable Australian online retailer consistently over that 20 years. And we have a reason for that, and that is the business model that we have developed. It's a business model that has a lot of subscription recurring revenue. It's a business model that doesn't only rely on inventory. It's a business model that has very strong metrics around it. And we are taking that playbook and implementing it in New Zealand for Mighty Ape. And we think that, that will reward Mighty Ape's customers, and it will make the business bigger and better than it's ever been. There are slides in the presentation where we talk to this and we talk about the opportunity and where we are in that journey because if you compare the Mighty Ape metrics now to what metrics we're seeing in Australia, just that alone paints the picture of what the opportunity there for the business is. So we're quite confident and bullish about the long-term opportunities there no matter what the macro environment is going to do, because people will still need to buy stuff, and they'll want to buy quality things at the right price. And our business is designed to deliver that.
Unknown Executive: Thanks, Rus. A question back in Australia. How have the changes to Kogan FIRST changed the membership growth and/or churn over time?
Ruslan Kogan: Well, we report Kogan FIRST revenue, which you get to see the money that the Kogan FIRST program brings in. The price for Kogan FIRST hasn't changed now for almost 2 years. And the program continues to grow. There's more and more offers for the program. We're providing more and more benefits to our customers, bigger benefits. So if you're moving house or moving into a new apartment and you need to buy a bed, a fridge, a dishwasher, a washing machine, laptop, new phone, whatever it is, you can't afford not to be a Kogan FIRST subscriber. So there's more and more benefits coming online. There's more and more benefits from our verticals across Kogan Mobile, Kogan Energy. If you're a Kogan FIRST customer and you're in Victoria, New South Wales and/or Queensland, you're getting better energy rates than any other provider. So if you use electricity and you're in those Eastern states, you can't afford not to be a Kogan FIRST customer on Kogan Energy. So the offering is getting bigger and broader and the program is growing. It's providing -- it's a real win-win-win situation whereby it's a win for the business. It's a win for the stakeholders of the business and most importantly, a win for the customers. And the numbers in it speak for itself because we've got this dynamic at play, the growth continues, and it's a pillar of our business.
Unknown Executive: [Operator Instructions] We have one more question to go after which, Rus, I might ask you to make some concluding comments if there are no more. The last question goes to the medium-term aspirations, and it refers to the 8.5% EBITDA -- adjusted EBITDA margins just delivered for the group. And the question is, if Mighty Ape returns to profitability in the second half, should we see this adjusted EBITDA margin build over time? And what is the outlook for the medium-term 8% to 12% range that you have specified?
David Shafer: Well, thank you for raising a question on that slide because it's an important point to zoom out and to understand what is the overall pricing and profitability strategy and margin strategy of the business. Our overall structure is inspired by the Costco model, where they effectively make all of their profitability from the membership program. Similarly, we're looking to effectively make all of our profitability from platform-based sales and to run the products business over the long term, fully costed on an EBITDA basis at breakeven. That will enable us to offer on an ongoing basis, the absolute best prices in the market. It will make us unbeatable on product while delivering ongoing very strong earnings results for our shareholders. And you can see that in that outlook. So currently, we're producing 8.5% EBITDA margins overall, which is heavily driven by platform-based sales and Kogan Products running at an EBITDA loss fully costed. Over time, we can see the adjusted EBITDA margin from the Products division heading towards breakeven, while the adjusted EBITDA margin of the platform-based sales heading towards -- heading northwards. And that will translate eventually to 20% EBITDA margins plus. In terms of the current half, yes, the products margin went backwards due to the inventory reset at Mighty Ape. We believe that, that will obviously improve this half in the second half and beyond. and that will head us towards the upper end of our medium-term aspirations over the coming 12, 18 months. But one of the features of the current result is the fact that even though the products margin went backwards temporarily due to the Mighty Ape reset, overall, the group result still improved. And that is a demonstration of the strength of the operating model of how these 2 parts of the business work together harmoniously and the diversification in the business means it's very robust. So that's a long way of saying, yes, when Mighty Ape improves in profitability, overall adjusted EBITDA margins will improve through product margins heading in the right direction.
Unknown Executive: Thank you, David. A question in relation to the appreciation of the Aussie dollar. What's the impact on the business been and in particular, on margins?
Ruslan Kogan: Yes. The Aussie dollar has appreciated in the last few months. We don't typically take a view on currency. So we do hedge on an order-by-order basis to know what price certain products are going to land at, but we don't take a view on the currency. I know some retailers do, but if we knew what the currency was going to do, running this retailer would not be the best use of our capital. We would find other ways to make money. But the dollar has appreciated. It typically takes 3 to 6 months to see that come through in landed costs of products. So I guess that hasn't really flowed through yet, but it will mean things are a little bit cheaper. So a stronger Aussie dollar means a lower landed cost for goods when they do come through the pipeline and the new inventory is landed, which will mean prices will get a bit cheaper for consumers, and we should be able to see some improvement in demand.
Unknown Executive: Okay. That brings us to the end of questions that have been lodged by the Q&A function. Thank you, Rus. Thank you, David, and thank you, everybody, for attending. Rus, if you have any final closing remarks, please go ahead now.
Ruslan Kogan: Yes. Thank you for your interest, everyone. As you've seen, the Kogan.com part of the business is firing on all cylinders. It's the strategy we've been talking about for years. There's nothing majorly changed. It's us delivering on exactly what we've been talking about in the business. We do have some challenges with Mighty Ape that we're working through. We think that while there are challenges there, there are also huge opportunities in implementing the proven strategy and business model of Kogan.com over the last 20 years. And that is exactly what we plan to do. So we're very proud of the team in how they're executing on the strategy and where we're getting the business to. It's -- it's been a very, very exciting 20 years and the opportunities that are in front of us right now are very exciting as well. So we look forward to being able to continue to deliver for our customers and our shareholders. And thank you very much for your interest in the business and looking forward to seeing many of you over the coming days.
David Shafer: Thanks, everyone.
Unknown Executive: Thank you. That brings today's webinar to a close.